Operator: Good morning. My name is Gia and I will be the conference operator today. At this time I would like to welcome everyone to the third quarter 2011 earnings conference call for América Móvil AMX. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I will now turn the conference over to Ms. Vera Rossi. Ma’am, you may begin.
Vera Rossi: Thank you, good morning. This is Vera Rossi and on behalf of Barclays Capital, we are pleased to be hosting América Móvil third quarter ‘11 conference call. Speaking today will be Daniel Hajj, CEO of América Móvil; Carlos Garcia Moreno, CFO; Oscar Von Hauske, COO; and Daniela Lecuona, IR Manager. I would like to turn the speaker over to Daniel Hajj. Thank you, Daniel.
Daniel Hajj: Thank you, Vera, thank you everybody. Thank you for being in the América Móvil third quarter results. Carlos Garcia Moreno makes a summary of the results. Carlos?
Carlos García Moreno: Okay. Thank you, Vera, for hosting the call. Good morning, everyone. América Móvil added 500 million wireless subscribers in the third quarter, that’s more than a year before, bringing the total September to 16.4 million, well above reported for the period. Our greater coverage and data capabilities have been instrumental in our being able to expand rapidly our postpaid base. At 22%, its rate of growth was slightly more than twice that of prepaid. Absolutely all our operations, no exceptions, increase more rapidly in postpaid base than the prepaid one. Since then access has increased by 2.1 million units, over 13% year-on-year with Pay-TV service growing 34%. With 12.5 million clients, América Móvil has become the second largest Pay-TV company by clients outside the US. At the end of the month, we had 241 million wireless ops 11% year more than a year before, and in the fixed line platform, 56.6 million revenue generating units. Taken together, we had almost 300 million accesses at the end of September, 12% more than a year before. Revenues were up nearly 8% from the year earlier quarter, 8.6% at the cost of exchange rate to 167 billion pesos with mobile revenues expending 10.7% to 108 billion pesos and fixed line revenues increasing 3.2% to 60 billion pesos, helped along by Pay-TV revenues that were 58% year-on-year. I think last quarter mobile revenues were driven by data revenues, which increased 26%. The revenue figures reflect the impact of the 70% effective results in the mobile communication rates that took place in Mexico last May. Although part of the impact of these results had already been incorporated – the headquarters was the first one selecting the full impact of the change. Absolutely, all our operations registered revenue increases from a year before, with growth rates in Colombia, Chile, Ecuador, and Peru in the teens, and that of Argentina above 20%. Platforms revenues continued to increase rapidly 35% year-on-year. Our South American operations presented strong revenue increases across all product lines. Throughout Mexico, Central America and the Caribbean saw solid increases in mobile data revenues that continue declines in fixed line both revenues. EBITDA totaled 64 billion pesos and was up 1% year-on-year or 1.8% at constant exchange rates, cost increases more rapidly and revenues principally in Mexico and Brazil. This came about after results were being done to expand the original capacity of private networks including backbones, metropolitan rings, backhaul, fiber to the work and to the home and generally all the elements of IP and PLF networks. And greater maintenance expenditures included the replacement of copper by fiber or the accelerated growth of our postpaid rates, and in Brazil of the cost associated with the development of the Pay-TV services, including subscriber acquisition cost and the purchase of content. EBITDA declined 2.7% in Mexico and approximately 7% in Brazil and the Caribbean. But it expanded approximately 40% in Chile and the U.S., more than 20% in Peru and Colombia, between 10% and 20% in Argentina and Ecuador, with Central America working 8%. Operating profit were down 3.3% basically because of an acceleration in depreciation charges in various countries to make room for the new investments being undertaken. Hence, depreciation charges increased 9.4% and now represent 14.2% of revenues. We obtained a net profit of 18.7 billion pesos in the quarter, it was down 21% from the year before on account of foreign exchange losses resulting from the sharp depreciation of various currencies vis-à-vis the US dollar and the fact that a portion of our net debt is exposed to dollars and other hard currencies. It is to be noted that approximately 12.5% of our revenues are dollar-based with nearly 4% more coming from countries with currencies pegged to the dollar. Accounting wise, exchange rate depreciation generated foreign exchange losses and the dollar exposure on the debt side, but do not generate the corresponding FX gains on the expected stream of dollar-based revenues. Year-to-date our comprehensive financing cost including FX losses were up 3% from year before, whereas our net profit was up 0.8%. Our cash flow (inaudible) 35 billion pesos in capital outlay and shareholder distribution in the first nine months of the year. These include capital expenditures of 73 billion pesos, with purchase of minority increase in aggregate amount of 5 billion pesos. And share buybacks and dividends totaling 56 billion pesos. Our net debt increased 40 billion pesos in the period to 247 billion pesos. Over the last two months, we paid bonds denominated in various currencies in the aggregate amount of $5.1 billion equivalent. We are today fully funded for the payment of the shares that will be, the Telmex shares that will be tended in the offer that will be expiring next 11th of November. So with this, I will pass it on back to Vera for the Q&A session. Thank you.
Operator: (Operator Instructions).
Vera Rossi – Barclays Capital, Inc.: Okay. So while we compile the Q&A I would like to ask two questions about Brazil. So my first question is could you talk about the changes in the strategy and products after AMX launched the combos with the three companies together, Claro, Net Services and Embratel. And where do you see your EBITDA margins going in Brazil in the next quarter?
Daniel Hajj: Thank you, Vera. I think on the first question, I think it’s too soon to know how we’re doing on the launch of the combos with Claro, Net and Embratel. I think it’s the right strategy and I think it’s going to be very successful. But it’s too soon I think we have to maybe two, three weeks that we announced that and then a little bit less that we have start to operate that. So with the new loss that appears in Brazil, we are allowed to take the control of Net. So that allow us to give those combos and I think that’s going to be very successful in the next year. I think that’s the right strategy. We have a great opportunities in Pay-TV, we have great opportunities in Beta, still low penetration there. Oscar can talk a little bit more on TV and but I think Brazil has been very successful. The other question on maybe EBIT margins in Brazil. I think, if you look Brazil, Vera, maybe 10 years ago, we don’t have anything in Brazil. And today, we’re going to start to consolidate Net, Embratel, Claro. We’re going to have a company more than $17 billion dollars, maybe we’re going to have those revenues next year. So what we are doing today in Brazil, we are integrating – we’re integrating the networks, we’re integrating the commercial areas. We’re taking advantage and Brazil has been a country that has been growing a lot. And I think we are focusing on that. So, margins are very important, but what I said in the last call and next years is going to be a year where we need to develop more in Brazil. We are gaining a lot of revenues. We’re growing at a 7% in Claro and in Embratel more than 20% in Net. So we still are going to look for the revenues and we’re going to – and I think with all the integration that we’re doing, you’re going to see that EBITDA should grow. But it’s really related to the level of growth that we’re going to have next year. I don’t know, Oscar, do you want to talk a little bit about content and TV?
Óscar Von Hauske: No. As you say, I think it’s still Pay-TV and broadband penetration is still low in Brazil. So this double pay, triple pay and combos that we’re offering on the market place, I think it’s a good way to increase penetration in Brazil. So the penetration is still low. And there is a room for opportunity for us to with the combined companies in Brazil.
Vera Rossi – Barclays Capital, Inc.: Hello?
Óscar Von Hauske: Hello. Yes Vera?
Vera Rossi – Barclays Capital, Inc.: Yes. Okay, I have a follow-up question. Do you think we will see acceleration in wireless revenues in Brazil in growth in wireless revenues at some point similar to what we saw in Colombia this quarter?
Daniel Hajj: Yes. I think you will – of course, we are really focusing on postpaid and those postpaid have the smart phones, and those smart phones are going to has more data and they are going to use more data. We are putting – that’s not only the – to have more revenues, Vera, you don’t have only to sell, you have to put infrastructure, and we’re putting a lot of infrastructure in Brazil, so that’s going to allow us to sell more, have good quality and I think to have the preference of our customers. So I’m sure that revenues in Brazil are going to grow.
Vera Rossi – Barclays Capital, Inc.: So at this – at the higher levels that they are growing at this point?
Daniel Hajj: Yes, I think so. Yes.
Vera Rossi – Barclays Capital, Inc.: Okay. So thank you very much.
Daniel Hajj: You’re talking about wireless, not –?
Vera Rossi – Barclays Capital, Inc.: Yes.
Daniel Hajj: Wireless, so I think, yes.
Vera Rossi – Barclays Capital, Inc.: Okay, thank you very much. So Gia, can you start the Q&A roster?
Operator: Yes. And the first question will come from Tomás Lajous with UBS.
Tomás Lajous – UBS: The first question is related to your expense portion of sort of capital investments. Apples to apples, if this were sort of capitalized, what would your margin have looked like, overall, what would have it looked like in Brazil specifically? That would be my first question. Hello?
Operator: Ms. Rossi.
Vera Rossi – Barclays Capital, Inc.: Yes. Yes, it’s América Móvil on the line.
Operator: Okay, I think their line is disconnected.
Vera Rossi – Barclays Capital, Inc.: Okay, let’s give them some time to call back.
Operator: Okay. Their line is rejoined.
Daniel Hajj: Vera?
Vera Rossi – Barclays Capital, Inc.: Yes.
Daniel Hajj: Sorry, we made a mistake and we disconnected the phone.
Vera Rossi – Barclays Capital, Inc.: Okay. Do you want to – the question to be repeated?
Daniel Hajj: Yes, please.
Tomás Lajous – UBS: Yeah, sorry. It’s Tomás here. So I’ll shoot with both questions. So the first question is if you were – if you were capitalizing instead of expensing the portion of the sort of capital investments like you run through your expense lines, what would your margin have been overall, what would have it have been in Brazil and Mexico specifically, I know you talked about in the press release how this is – what is the big impact to your cost accelerated investment in fiber and (inaudible)? And the second question is I guess the question that always comes up. Your net debt is now at one times net debt EBITDA. You’ve been very successful in finding opportunities in fixing some markets to take on more debt. Do you see it – are you going to fix your leverage policy or could we see a situation where you take leverage up further and then hand distribution to the shareholders?
Daniel Hajj: Okay. On the second question, you say we have for a long time maintained a leveraged policy of one times net debt to EBITDA that’s basically where we have been – at or around one times net debt to EBITDA, I think that’s where we are going to end of the year even after paying for Telmex. And we are not expecting although we have a room from the point of view of the rating agencies but the company’s position is not expected to change. I think that we have in the end of the year that we intend to maintain a policy of financially conservative that we have had up until now. And regarding the expenses, I cannot give you all the details, I can’t tell you that in Brazil, it’s directly related to these, to the equivalent of about three points of EBITDA. But again it’s – you have to remember that when we took over Telink International, there were some accounting differences in terms of with the policies that we used to have and we have now to make sure that we are all conforming to the same policy. So partly what you are seeing now is comparing a year, or you are expensing everything which is now, with another year in which some things were not being expensed. Okay, so we have now completely unified criteria in order to make your operations Telmex, Telmex International and the original América Móvil and that explains part of the difference. Okay. So then there is a lot of work that is being done as I was explaining before that isn’t not labor that goes directly into the work, which is typically capitalized by the risk or the type of labor expenses that cut directly, supervisory charges is one example. And we’re expensing all of that. We recognize that we may be more conservative than several of our peers in the sector. I told you that we have always done things, we’re more financially conservative as you said on the net debt to EBITDA side, but we’re also more conservative on the accounting aspect.
Carlos García Moreno: It helps us a lot on the fiscal side, no?
Tomás Lajous – UBS: Going forward you do expect your capital investment to remain around $8 billion to $8.5 billion per year or could that number change?
Daniel Hajj: I think that we haven’t changed. I think that we’re looking at keeping it flat for the next three years or so.
Carlos García Moreno: Yeah. We said that we’re going to invest around $25 billion in 2011, 2012 and 2013 and I think that’s more or less what we think we’re going to do.
Tomás Lajous – UBS: Thank you, thank you very much.
Daniel Hajj: Thank you.
Carlos García Moreno: Thank you.
Operator: The next question will come from Andrew Campbell with Credit Suisse.
Andrew Campbell – Credit Suisse: Yes, good morning. In light of the announcement yesterday from Anatel about the slide pass for mobile termination rates, I was wondering if you could make a comment about what the impact would be on the Brazilian operations, perhaps some sense of what the overall EBITDA impact would be.
Carlos García Moreno: I think my comment today, they just do it yesterday. But I think my comment on the reduction on the interconnection rate is that I think that Brazil has been doing gradually. I think that’s the right way to do those things. I think that make us plan, that make us still invest a lot and I think that’s the right way to reduce the interconnection rates to have like a view for the next two, three years to understand what we’re going to have to plan, and I think there is still, they were a little bit high I think that, I think it’s correct the way. I hope with that we’re going to have more traffic. Traffic is and volume is going to get reducing the interconnection rates. You can grow a little bit of traffic. So they way they do it, I think it’s the right way to do it. There is still room for prices to come down and MOU to go up. So I’m sure it’s the right way to do those things.
Andrew Campbell – Credit Suisse: Okay, because I would imagine that Claro is a net receiver of mobile termination and that Embratel is a net payer. So I’m not sure how kind of it shakes out if the net affect you expect will end up being negative or both the neutral, I’m not sure just to give a sense of direction.
Carlos García Moreno: We’re making the numbers, we still don’t know, it was yesterday, but all overall, Andrew, what I can say is that with these type of decisions gradually decisions, volume can grow up, and I think that’s good for the company and that’s good also for the customer. So I think that’s a good decision.
Andrew Campbell – Credit Suisse: Thank you.
Carlos García Moreno: It helps penetration, gross and MOU, there is a lot of things that you could see when you have like a gradually planned reduction. That’s the way, other important issue is when you do gradually then when you reduce the price and the volume is going to go up and you have time to put infrastructure, then quality of the networks are going to be good, I think that’s the right way to do the things, Andrew.
Operator: The next question is from Dominic St. George with Nevsky Capital.
Dom St George – Nevsky Capital: Yeah. Hi, I just got some questions on your smartphone base. I was just wondering if you could give the percentage of postpaid subscribers who are currently subscribed on smartphones, and if you’ve got any sort of medium to long term specific postpaid in smartphone targets. And then secondly if you just give a number of possible – of the number of iPhones that you currently have within your subscriber base, that would be great. Thank you.
Carlos García Moreno: I’m sorry not to have those numbers here but what I can tell you is that smartphones are growing at a fast pace, smartphones are coming down on prices, Android has been doing with Samsung, with LG and with some other brands has been putting good software with nice handsets at a very good prices, I think they – we are growing at a very – at a higher pace than what we used to grow. I don’t know exactly what is the rate but you could see in the numbers that postpaid is growing 20%; as a result a lot of that means that smartphones are coming to our network. So that I don’t have the numbers, and then on the iPhone, I don’t have exact numbers. The number but we can give you the number, but that’s not a problem you can call Daniela and she can give you the numbers. We are just launching the 4S today in Mexico, and I think it has been very successful and they are coming in the next congress in Latin America.
Dom St George – Nevsky Capital: Sure. And then so just quickly, have you got any specific targets for postpaid or smartphones, say for 2014 or 2015, that you’d like to see?
Carlos García Moreno: No, I don’t have it right now, those numbers. The target is to grow on smartphones, to grow on data. And you are seeing that the rates on data growth has been very good. So that’s where we are growing our revenue.
Dom St George – Nevsky Capital: Yeah. Thanks.
Operator: The next question will come from Mauricio Fernandes with Bank of America, Merrill Lynch.
Maurício Fernandes – Merrill Lynch: Thank you, good morning, everyone. Daniel, can you give us some sense for what drove the ARPU increase sequentially in Mexico, given that you still had the effects of the mobile termination rate cut in the middle of May. That’s question one. And two, clearly the since the launch of the Straight Talk in the U.S. and TracFone, and ARPU went up a lot and continues to go up and now we are seeing margins back to double digits. Are we at a point of seeing extension back to around that 15% level we saw before? Or you still see room for further penetration of the product so that we will continue to be around the 10 or – around the 10% level? Thank you.
Daniel Hajj: Mauricio, let’s start on the Straight Talk, I think Straight Talk has been very successful and we are growing our beta because in terms of growth, I think the growth in third quarter of 2010 was 30% higher than what we have seen. We have a very good growth, more than half a million subscribers in TracFone, what has been reduced a little bit. So what’s happening in TracFone? What is happening is we have a higher base, more revenue. So the growth it goes a little bit less this year than last year. That’s why you saw an increase on the EBITDA. Of course, as the growth can be slower, then you are going to see better EBITDA margins. I think what I can tell you about the Straight Talk is it’s a very good plan, very successful plan, with a very good ARPU also. So it’s still growing a lot, half a million subscribers, a lot of those are Straight Talk. So we’re very happy how those, the prepaid has been developing in the U.S. and especially with our Straight Talk plan. In the ARPU in Mexico, if you see the results, the ARPU has been going down very, very little. And it’s mainly because the interconnection rates were – what you could see is the ARPU is 6.2% from last year, 164 pesos to 154 pesos. And on quarter-on-quarter, we have been growing 0.7 at a – sorry, reducing 0.7% and quarter-on-quarter, it’s because this quarter, we have put all the reduction on the interconnection rates. Last quarter, it only hit those maybe half of the quarter. This quarter has been hitting us all the quarter, so we have that full effect this quarter. I think in Mexico, we’re still gaining good customers. We are maintaining also our good – our high ARPU customers and growing very good in postpaid and in data services. So, the data ARPU has been growing also. So it’s very good that we’ve have been growing on the data ARPU. And we feel that in Mexico, we have the best network, the best quality, the best customers care centers. So that’s really why the customers has been deciding to stay with us and coming from other companies also now.
Maurício Fernandes – Merrill Lynch: Perfect. And I would have expected your ARPU to fall more, that’s what I meant. Have you noticed, I know data has contributed to support the ARPU, Have you noticed any elasticity from voice resulting from the NQR cut, or you think that the fact that ARPU was mostly flat, sequentially was basically despite being NQR cut, you saw data computing with new revenues.
Daniel Hajj: I think, it’s a short time to solve that. But at the end of day, what I see is that customer had a budget to spend on telecommunication. So if you reduced the NQR they’re going to use it in data or on the PCMCIA card or in a broadband or some place. So I think that if you reduce in one side, then they’re going to use it in the other side. It’s too short to notice that, but in the long run, I think I don’t have any doubt that people are going to have – they are going to have more budget to use more in telecommunications.
Maurício Fernandes – Merrill Lynch: Perfect. Thank you very much.
Daniel Hajj: Thank you.
Operator: The next question will come from Richard Dineen with HSBC.
Sean Glickenhaus – HSBC: Good morning. This actually Sean Glickenhaus. Just had a question – was actually wondering if you could talk a little bit about Colombia. It seems that each quarter it continues to impress, and the one thing I did notice that seemed quite different is if I backed into the voice ARPU, it looked like the voice ARPU, the voice side actually did well. It looks like it was growing, so I was hoping you could help me clarify that or let me know what initiatives led to that.
Daniel Hajj: Well, in Colombia we’re doing very well. In Colombia, we are growing at a very fast rate and ARPU has been coming up, I think, 1.5% year-on-year and in Colombia what we are doing is we have very good promotions, we’re focusing on postpaid, we’re focusing also in good prepaid costumers, because we used to have very low ARPU prepaid costumers and that what we are doing is we are focusing a lot on those customers. We are giving them good promotions and I think that’s – it’s helping us a lot. On the other side, data revenues have been growing 27% year-on-year. So all of that has been make us do a very good quarter in Colombia.
Sean Glickenhaus – HSBC: It sounds like if I understood the one differentiating factor was you took lower ARPU customers and instead of just cutting them, you actually were motivating them to, I guess, increase their usage and that helped obviously the voice side as well, obviously they just continue to grow strongly but that also helped the voice side consequently, your margins also jumped quite a bit.
Daniel Hajj: Yes, exactly. Exactly this is what we are doing. We have very low, low ARPU customers and we are making them some promotion, they are spending a little bit more of money on that. So it’s helping us on those. And also voice industry is growing also in Colombia, so we are doing also very good in voice not only in data.
Sean Glickenhaus – HSBC: Great. Thank you very much.
Daniel Hajj: Thank you.
Operator: The next question will come from Sag Patel with HMC Capital.
Unidentified Analyst: Hi there, gentlemen. Specific question on Mexico. So we’ve seen some pricing moves recently with respect to Iusacell followed by Telefónica specifically on the out-of-network tariffs, a pretty substantial reduction. Can you comment on the impact you’re seeing specifically from those moves?
Daniel Hajj: Yes. I think my only comment there is that Mexico is – that we have a top competition in Mexico, but not from today. We have been having tough competition from a long time. And I think price is not everything to compete with. You need to gauge – you have to have a very good customer quality, quality on the service, quality on the network, coverage, distribution. And there is a lot of things that – branding, there is a lot of things that we have been improving from the last 10 years. So we’re feeling very comfortable that people in Mexico has been deciding for Celtel. We are gaining market share since this year, a little bit. But we’re gaining a little bit of market share. We are doing very good on our postpaid customers. So well, there is a lot of competition in terms of pricing and a lot of competition in other areas. But we’re feeling comfortable right now in Mexico. Now, we are doing – we are investing a lot, we have a very good network, we have a lot of capacity, quality, we’re improving a lot of our quality. So we are happy the way we are developing all those things.
Unidentified Analyst: Okay. And one follow-up, just in terms of Push-To-Talk with respect to some of the moves made in Brazil and some of the upcoming launches that are going to be happening over WCDMA network by NIHD. Can you comment on sort of what you see the state of play in that market is and how you see that evolving and what your response if any will be to fill that need?
Daniel Hajj: Well, I think Push-To-Talk has been developed for a long time now. It starts with Nextel and then in the wireless side, there is a lot of people developing that. I think it’s another, let’s say, the service that we could do and we prefer to do that service whenever we need to give that service. So there is a lot of services, like the service that we just announced that its mobile banking. We have been working for maybe two years in mobile banking. So Push-To-Talk would be another service that we could launch in the future. It has not to be in the 4G network, it could also be in the 3G networks.
Unidentified Analyst: Okay, thank you.
Operator: The next question will come from Walter Piecyk with BTIG.
Walter Piecyk – BTIG: And I want to thank Vera for hosting the call, welcome back. It’s great to have you back. Daniel, just two questions. Can you give us some sense of the roll out of LTE, all of your networks whether it’s Mexico or elsewhere. And then also can you give us a sense of kind of what’s happening with your Blackberry sales. Thanks a lot.
Daniel Hajj: About the first question on the LTE, I think we have frequencies right now in Mexico and I think in Puerto Rico. We’re going to have frequencies, I think all the countries are going to launch frequencies in the next year. What we have been doing, we have been testing LTE and I think in the next year you could see some cities, not all Mexico, but some cities in Mexico and also in Puerto Rico. With that what we’re doing is, we’re preparing our networks with a fiber to the node, more links, all the backbone, all the backhaul. So that takes you a lot of time and we’re preparing our networks to be ready when we want or we need to launch LTE, then we have not only LTE, we have all the backbone and the backhaul ready to launch all these services, no. Exactly the dates we don’t know exactly the date, but I am sure that we are going to have some networks running next year.
Walter Piecyk – BTIG: You gave an overall CapEx number of the $25 billion is there, I know you probably are not going to breakout wireless as far as expectation. But give us a sense on is CapEx going to grow within wireless next year or be flat or down? And at what point does LTE play in to that, does that end up growing your CapEx or is that just kind offset declines in legacy spending?
Daniel Hajj: No, I think it’s very difficult to say or to differentiate because all the backbone, the backhaul, the fiber, the fiber to the home, that’s all the same. You are going to use that the metropolitan rings – all those things you’re going to use as for wireless and for fixed and for AVS broadband. So it’s very difficult to make a deeper instance there. We are reviewing our CapEx for next year or what we are saying it’s going to be between $24 billion to $25 billion in three years. We do this number when we don’t have net, okay. So if we’re going to incorporate net in the next year we’re going to see how much is the CapEx and the investment on net. So that’s the only one reason why we can change a little bit our budget. But besides that I think we feel very comfortable with that number.
Walter Piecyk – BTIG: And is there any special acquisition in that or is that just the CapEx?
Daniel Hajj: No, that’s just the CapEx.
Walter Piecyk – BTIG: Okay, and could you address the question of phone sales? Can you give us a sense of not what specific numbers, but how BlackBerry have now been selling, has your Android device lineup has expanded in some of these markets?
Daniel Hajj: I think all of them are selling good. I think BlackBerry is doing also very good in Latin America. And the reason why this is doing good, iPhone is doing good, Android is doing good, also BlackBerry, because all – what we were talking is, is we’re selling more smartphones, so what is happening is that all these phones are taking market share from the very cheap phones that we used to have. So still BlackBerry is very strong in Latin America, as it is also Android and also as iPhone. And I’m sure that in the future also Windows, it’s going to be also a strong competitor in that market.
Walter Piecyk – BTIG: Thank you very much.
Daniel Hajj: Thank you.
Operator: Your next question will come from Michael Morin with Morgan Stanley.
Michel Morin – Morgan Stanley: Good morning. Thanks for the question. I just wanted to focus on two quick things, first on Colombia. Can you talk a little bit about the competitive and regulatory environment, it seems from the Millicom results that they are doing a little bit better in that market now. So just wondering if you’ve seen any more recent change in trends? And then there’s some regulatory changes that are coming up, I was wondering if you could talk us through what those are and how you think that that might impact you? And then separately, you recently announced an acquisition of DLA and this is a content business very different from the rest of your businesses. So I was wondering if you could talk to us about the strategic rationale for that acquisition? Thank you.
Daniel Hajj: Well, starting with the DLA, I think, you have to see América Móvil not only a wireless company, América Móvil today is a fixed company, it’s a TV also company. We have 12.5 million customers in TV. And what we do with DLA is that that’s a company who had some OTT platforms. Oscar, can talk a little bit more on what does DLA do. But they have content, they have a lot of things that will help us to still develop of all this content business that we have. We have as I said 12.5 million TV customers. And we’re also going to launch some service like –
Óscar Von Hauske: Streaming –
Daniel Hajj: – streaming services in our networks, but Oscar, why don’t you talk a little bit more about that?
Óscar Von Hauske: Yeah. DLA it’s – they don’t produce too much content, they are an aggregator of content company. They have a good relation with the major vendors of content. So they aggregate content. They sell to different carriers all across Latin America for our pay-per-view products. And they have a streaming platform that we think to use. We already launched this streaming platform similar to other streamings. We are offering video through Internet through using streaming technologies. We have both offering, on-demand video and the other one is library that it could be only limited uses. So that’s the rationality that we’ve analyzed to get DLA. It’s an aggregator. It has a very good streaming platform that we could use to all the broadband subscribers that we already have. And it’s a fully integrated platform. The streaming is not only for fixed broadband. It will include as well all the wireless streaming through different tablets, iPhones, et cetera. So that’s just the rationality about DLA.
Daniel Hajj: I think we are happy with our purchase of DLA and it makes a lot of sense to have a company like that inside América Móvil. And the other question on Colombia, Colombia has – let me start with, we have very good rate – very low rates. They are really competitive rates. They have a good penetration, Colombia. They have also the interconnection rates are also one of the lowest in Latin America. So I think what does the regulator want? What the regulator wants is to have more and develop more of the broadband to do more on the rural areas and we are a company that are investing a lot on Colombia. So I think the regulators are understanding that what they need is companies who really invest in the company, not companies that says that they are going to invest, but at the end of the day, they don’t invest in the company. So I think we have a good relation with the regulators there. They are doing something that we are not happy with that. Still we are discussing that. But we have a good relation, the difference on the interconnect rates are symmetric interconnection rates that they said that they are going to do. They are part of the things that we are not agree on that we are really close to them and discussing this type of decisions that they are not going to do anything better with those type of decision and I think they are understanding those things.
Michel Morin – Morgan Stanley: Right, okay. And then if I can just follow up on that. In your Colombia segment you include the results of your start-up in Panama. I guess we can’t really talk about it as a start-up anymore but I was wondering is this – is Panama still a drag on your overall profitability in Colombia? Where did the improvement in margin come from in Colombia? Was it all – did Panama help, I guess would be the question? And just like the Greenfield you did in Panama, are there any countries in Central America that you haven’t entered yet that you might consider entering? Thank you.
Daniel Hajj: Yes. I don’t know why it’s we didn’t announce that, but Panama is not anymore inside of the result of Colombia, I think Panama is already in the result of Central America. So Colombia is only Colombia. So we are doing good in Panama. We are growing at this time. What you need to do in Panama is to grow your revenues because you do some investments and then those investments need to have some revenues and that’s what we are focusing in Panama. We are having another Greenfield in Central America that is going to – it’s Costa Rica, I think Costa Rica, we’re going to launch next week or the next one, in the next 15 days we’re launching in Costa Rica so that’s the only two, let’s say, Greenfields that we’re having at this moment.
Michel Morin – Morgan Stanley: Perfect. Thank you very much.
Daniel Hajj: Thank you.
Operator: The next question is from Gil Alexandre with Darphil Associates.
Gil Alexandre – Darphil Associates: Good morning. Could you give us – can you quantify for us in Mexico how much low in dollars or in currency, how much lower your interconnection rates were for the quarter?
Carlos García Moreno: I think it was 70% reduction in peso terms, which means that with the current depreciation of the peso, we have $80 in the period it was about 20%. We are really talking about – definitely close to 85% reduction in dollar terms.
Daniel Hajj: It goes around from – it goes from 85 pesos to 39 and that 39 means per second so it goes on around to 30, so it goes around from $0.85 to $0.30. That’s the reduction that we have and in this quarter, we have a full effect on the interconnection.
Gil Alexandre – Darphil Associates: I understand that, but how much did that reduce your revenues?
Carlos García Moreno: I think it’s around 3%. I need to make exactly the numbers but it’s around 3% what that reduce the revenues.
Gil Alexandre – Darphil Associates: 3% of your revenues.
Carlos García Moreno: I think so, more or less.
Daniel Hajj: Integrated revenues, yes.
Gil Alexandre – Darphil Associates: And then, can you quantify for us, how much your expansion, expansion for deploying fiber and new phones that you expense, how much that cost you that would have affected you because your costs went up quite a bit.
Óscar Von Hauske: I don’t have exactly, exactly the number – that you are asking. But I really happy to – if you call Daniela, we can make those numbers for you and give you exactly the amount that we have. Carlos, on that interconnection?
Carlos García Moreno: On the interconnection side I think what we can tell you that, if we have not had this reduction in revenues led up to last year, the integrated revenues in Mexico would have grown 3.7%. Integrated revenues, consolidated revenues.
Gil Alexandre – Darphil Associates: And as you look at your Mexican operation, is your EBITDA margin basically at a low point?
Daniel Hajj: Well, it’s we said that in Mexico in the wireless side we were going to be about 50%, EBITDA we’re still there. I don’t know exactly. We haven’t made our budget for next year, but we’re still above what we’re saying. And it’s going to depend a lot also on the postpaid, and the growth that we have been having for next year, no.
Gil Alexandre – Darphil Associates: I want to thank you, and good luck.
Óscar Von Hauske: Thank you very much.
Operator: The next question will come from Alejandro Gallostra with BBVA.
Alejandro Gallostra – BBVA: Hi, good morning everyone. Would you be able to give us idea of what’s your current average cost of smartphones in the region, and then I would also like to know, if you started to see the benefits of smartphone manufacturers moving to Brazil and to avoid import taxes?
Carlos García Moreno: That’s why it’s very difficult, your first question, because let’s say, in Brazil we have a lot of taxes if they don’t produce the smartphones there. So I can tell you that we have smartphones from here today $150, good smartphones from $150. So it has been reduced a lot, still we have smartphones of more than $500. But we already have smartphones of $150. So, good smartphones with a very good software that you can do all the applications, music, social networks, there is a lot of good handsets. The problem in some countries is that you have to pay some taxes there, so, if you don’t produce the handsets there. So some of them are being produced let’s say in Argentina, some of them in Ecuador. We have also some taxes in Brazil, so it’s very difficult to tell you exactly the average price, no?
Alejandro Gallostra – BBVA: But did you start seeing the benefits of manufacturers moving to Brazil or not yet? The taxes over there are huge.
Carlos García Moreno: Yes, yes, but I think that the benefit is for the manufacturers, because if one of them goes then we are seeing the benefits, because we are having good prices at good – in Brazil. So I think it’s a competition more between the manufacturers, because we already have some handsets in Brazil, produces in Brazil that being let’s say without the import taxes that you need to pay.
Alejandro Gallostra – BBVA: All right. Thank you very much.
Vera Rossi – Barclays Capital, Inc.: Okay. Still we have time for one more question.
Operator: Yes, and the final question will come from Andrés Medina Mora with GBM.
Andrés Medina Mora – GBM: Thank you, good morning. I was wondering, if given the consolidation of Telmex going forward, we should expect any changes in margins in Mexico? And also regarding the possible consolidation of Net, should we expect any news there soon? Thank you.
Daniel Hajj: Well, I think we already consolidate Telmex, no? We’re consolidating Telmex since last year. So that’s – we’re consolidating the margins of Telmex already in América Móvil. So what we’re saying is if we are going to see more integration or some benefits there, I think, yes. I think as we could buy the rest of Telmex we can integrate 100% and we can do more integration in the companies as we’re doing in Brazil, mostly on the network side, I think there’s going to be a lot of things or activity that we could see. IT there is a lot of things that we could do. So there, we can have a good synergy integration in Mexico. And your other question –
Óscar Von Hauske: The other question has to deal with Net, and in the case of Net, we have as you mentioned before, we have submitted requests for approval to Anatel so that we can exercise the option that we have to gain the control over the company. As you know, we have now 2% economic interest in Net, 49% boarding right. In 2000, we could not exercise the option because the law precluded a foreign operator from owning a cable asset. The law has changed and we’re in the process of doing everything that is needed to exercise the control and proceed to a fully integrated company and consolidated company with América Móvil.
Andrés Medina Mora – GBM: Thank you very much.
Óscar Von Hauske: Thank you.
Daniel Hajj: I now want to thank everybody for being in the call and Vera from hosting also the call.
Vera Rossi: Thank you, Daniel, Carlos, Oscar and Daniela.
Daniel Hajj: Thanks, everyone.
Carlos García Moreno: Thank you, very much.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. You may now disconnect.